Operator: Good day, everyone, and welcome to Kratos Defense & Security Solutions Fourth Quarter and Fiscal Year 2025 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. Now it's my pleasure to turn the call over to the Senior Vice President and General Counsel, Marie Mendoza. You may begin.
Marie Mendoza: Thank you. Good afternoon, everyone. Thank you for joining us for the Kratos Defense & Security Solutions Fourth Quarter and Full Year 2025 Conference Call. With me today is Eric DeMarco, Kratos' President and Chief Executive Officer; and Deanna Lund, Kratos' Executive Vice President and Chief Financial Officer. Before we begin the substance of today's call, I'd like everyone to please take note of the safe harbor paragraph that is included at the end of today's press release. This paragraph emphasizes the major uncertainties and risks inherent in the forward-looking statements we will make this afternoon. Please keep these uncertainties and risks in mind as we discuss future strategic initiatives, potential market opportunities, operational outlook, financial guidance and other forward-looking statements during today's call. Today's call will also include a discussion of non-GAAP financial measures as that term is defined Regulation G. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, at the end of today's press release, we have provided a reconciliation of these non-GAAP financial measures to the company's financial results prepared in accordance with GAAP.
Eric DeMarco: Good afternoon, everyone. We finished 2025, exceeding our financial objectives for the fourth quarter, generating approximately 20% Q4 year-over-year organic revenue growth, generating a 1.3:1 book-to-bill ratio on top of this 20% growth rate, having a record backlog of $1.573 billion, a record opportunity pipeline of $13.7 billion and with the opportunity set for Kratos having never been stronger and expected to continue to increase based on recent events. Of note, generating a 1.3:1 book-to-bill ratio on top of 20% organic growth while also maintaining a record high backlog and record high opportunity pipeline, we believe, is representative of the increasing demand for Kratos' affordable military-grade hardware and software, and that our growth trajectory is accelerating. Kratos is positioned to achieve our previously communicated 2026 and 2027 financial targets; and similar to 2025, our Q1 will be the lowest, including as we come off another CRA and also this time, a government shutdown, both of which are now resolved and we will ramp throughout the year. Since our last report, the global national security opportunity and funding environment for the industry and for Kratos has continued to improve including, as I mentioned, both the CRA and U.S. federal government shutdown being resolved, the 2026 NDAA being signed, the fiscal '26 Defense Appropriations Bill being signed, and the President, the Chairman of the SASC, each proposing future defense budget increases of approximately 50%, up to $1.5 trillion. Additionally, discussions have already begun on a second additional 2026 Reconciliation Bill, including a potential additional $450 billion for defense. There is a generational recapitalization of the defense industrial base underway, driven by geopolitical and related global threat environment, a recapitalization that we believe Kratos is uniquely qualified to address with defense and national security-related budgets of the U.S. and its allies expected to increase for the foreseeable future. Crisply stated, we now have a $1 trillion annual defense spend that is expected to increase for the foreseeable future. And as a result of the defense industry consolidation, which began with the infamous DoD Last Supper in 1993, there are a few qualified companies with true capabilities to address the required military-grade hardware, software and weapon systems demand. Kratos is one of the few nonlarge traditional prime contractors, which, in my opinion, is qualified to adequately address this demand with Kratos having the right products at the right time at the right cost points now and today, and this is being reflected in our organic growth rate and our financial results. Also importantly, the Secretary of War has emphasized that he wants industry to bring to the department relevant systems now, systems that can achieve 85% of what is needed today not a PowerPoint of an exquisite system at maybe some days 100% potential threshold at a ridiculous high cost. As you know, pillars of Kratos' strategy since we founded our company include better is the enemy of good enough and ready to field today, and affordability as a technology, both of which I believe are aligned with the Secretary's comments and clear differentiators of Kratos in today's environment. Another Kratos strategy pillar also since our inception is that Kratos makes true internally funded investments ahead of government funding, enabling Kratos to move fast, efficiently and affordably for manufacturing capability and relevant products for the war fighter. Additionally, Kratos' practice of not paying dividends or buying back our stock but of investing our capital in the defense industrial base is also aligned with the vision of the current administration and also the related opportunity environment, which Kratos is realizing the benefit from. Kratos' strategy of being first to market with actual relevant products is clearly a differentiator to our customers and partners as we are seeing firsthand with the demands for Kratos' jet drones, hypersonic systems, jet engines, satellite defined software systems and solid rocket motors. Having products and not PowerPoints is clearly important now more than ever, and I believe that this trend is accelerating. Engineering, manufacturing and delivering affordable, relevant military-grade hardware at scale that must work every time is hard and having this capability does not occur overnight. We have been at this for a long time, and Kratos' customers and partners recognize this. The time for PowerPoints, podcasts and science projects is over. We are out of time. The country is moving towards wartime footing, and Kratos is ready now. For our operational update. We now have 120 Kratos Zeus and Oriole solid rocket motors on order, with deliveries of the SRMs to Kratos for system integration expected to begin in Q3 of this year, which SRMs are directly related to either under program, contract or expected hypersonic and other launches that we plan to perform. Related to these solid rocket motor orders, Kratos' hypersonic franchise is expected to ramp rapidly beginning now this year. Kratos' Zeus solid rocket motors were specifically designed by Kratos for affordable rapid full rate production to enable national security customers to fly more often faster and farther, using fewer rocket motor stages at a substantially reduced cost. And demand for Kratos' Zeus SRMs is significant. Our newly opened Maryland hypersonic facility, our soon-to-open Indiana hypersonic system integration facility and the expansion of our Birmingham advanced manufacturing facility for hypersonic systems, along with the solid rocket motor deliveries are key elements of Kratos' expected near-term and future revenue growth trajectory and EBITDA increase. These new Kratos facilities are specifically designed and built for identified programs and systems and the related security requirements with specific capabilities identified with our customers and optimized for large-scale integration and production speed, efficiency and cost. It was recently reported that Kratos has been selected by the Pentagon to develop highly maneuverable Mach 5+ hypersonic missiles, including advancing in-flight steering and propulsion systems under the Joint Hypersonic Transition Office, another new hypersonic program win for Kratos. And separately, we are now hoping to receive an additional approximate $1 billion-plus hypersonic program-related opportunity by the end of this year, which we believe will be sole sourced to Kratos as prime on an existing national security initiative. We are expecting to approximately double Kratos' hypersonic franchise revenues in 2026 over 2025 up to approximately $400 million and then potentially increase over 75% again in '27 up to approximately $700 million. Last week, we announced the groundbreaking for the Prometheus facility, our solid rocket motor and energetics partnership with our outstanding partner and defense technology company, Rafael, and we remain on track with the business plan I have previously briefed you on. Kratos and I personally have deep long-term relationships with the Rafael Israel executives, including the Chairman and CEO, and we are all committed to Prometheus' success and certain other initiatives we are partnering on. Reflecting the Prometheus initiatives coordination with the Department of War, the department last week also announced the ground breaking of a new munitions campus, where Prometheus is located and Prometheus will be the primary business presence. Kratos' space and satellite business, our company's largest, recently achieved an important milestone with the successful completion of a factory acceptance testing between Kratos' Epic command and control software system and Airbus OneSat next-generation software-defined satellite platform. The Airbus OneSat software-defined satellite platform offers dynamic in-orbit reconfiguration capabilities, significantly increasing satellite mission capabilities and flexibility, which drive new levels of complexity for the ground command and control systems that manage them. The significance of this successful acceptance test with Airbus is that Kratos' Epic C2 software is expected to unlock the agility of Airbus's OneSat platform, enabling operators to instantly reshape coverage and reconfigure the missions in orbit. Kratos' open-space software C2 and TT&C system with Airbus OneSat software-defined satellites is representative of Kratos' technology and industry-leading position in the space and satellite domain. Kratos' space and satellite business is also representative of the dual national security and commercial use of certain Kratos products, systems and softwares. These are not PowerPoints or convenient talking points. We actually do it. In my opinion, Kratos' suite of internally funded and developed software-defined command and control, and telemetry tracking and control, and other systems, both for commercial and national security spacecraft, reflect certain of the highest technology space capabilities in the world with Kratos the clear first-to-market industry leader with software-defined systems and products. Similarly, Kratos' global owned and operated space demand awareness system with approximately 190 worldwide sensors and more than 20 sites is a Kratos crown jewel and one of the most valuable technologically advanced dual-use assets of our company. Another critically important Kratos partner is global space solutions company, SES, which, in my opinion, similar to Kratos, is an industry-leading satellite and space technology company. Kratos and SES are now working together on a number of initiatives including dual use, both commercial and national security focused, and I am confident that similar to other Kratos partnerships, SES and Kratos will together be providing significant relevant technology and industry-leading solutions generating real tangible value for our respective stakeholders. Key Kratos assets driving our space and satellite business including our OpenSpace TT&C software, C2 software, other software and artificial intelligence, including for Kratos' global space domain awareness system, which is the only such SDA system in the world today. I do not emphasize it often. Kratos' OpenSpace satellite and space-system-focused software is the only software-defined networking solution designed so that virtually every piece of the satellite ground station can now be turned into software, accelerating the reaction time to changing satellite capabilities and space conditions. Kratos OpenSpace is one of the software jewels of our company. As you know, the number of space and satellite opportunities globally, national security related and commercial, is rapidly increasing. And as a result, Kratos' space and satellite business opportunity pipeline is particularly robust even after generating a fourth quarter and 12-month book-to-bill ratio of 1.2:1 and now having a record backlog of $600 million at the end of Q4. Related to the market position of Kratos' technology and first-to-market OpenSpace satellite software suite, Kratos has recently been informed that we have been selected for an initial approximate $500 million program award that I will hopefully be able to provide additional information on a future call. Similar to what we typically see at most of Kratos' calendar fiscal year ends and as we saw again at the end of '25, certain Kratos' satellite and space customers, similar to commercial software companies, historically make software, data and other Kratos product purchases in the October, November and December time period, generating higher margins for our company, which we once again expect and forecast to occur in Q4 '26. The Department of War has recently established a new acquisition model to expand munitions procurement and production, including delivering long-term demand signal certainty to the industry in incentivizing private investment to increase production. Related to this initiative, the Department of War has executed multiple up to 7-year deals, including with Lockheed and Raytheon, for air defense, missile related and other systems, including several programs that Kratos supports. And Northrop also recently announced that the Integrated Battle Command System, or IBCS, another Kratos hardware-supported program, is moving towards increased production. Kratos is an industry leader in high-volume manufacturing of military-grade hardware and systems including hardware with high-altitude electromagnetic pulse protection, an important Kratos technology differentiator, and we are a go-to provider of hardware for our national security-related customers and partners. Accordingly. We applaud the Department of War and these long-term production agreements and plans, which clarity provides companies like Kratos the long-term planning visibility for investment, resource allocation and financial forecast and confidence. In Kratos Turbine Technologies and our engine business, there are several new low-cost cruise missile, drone, hypersonic and loitering munition programs and systems that require next-generation new technology engines and propulsion systems, and here again, Kratos is first to market, including with our Spartan family of jet engines, which are running and flying today. We continue to win important new engine-related program awards including what we were able to report this morning, that Kratos and our partner, GE Aerospace, have now received an award from the Air Force to design an engine for the expendable combat collaborative aircraft or CCA. I can now also report that Kratos expects to begin low-rate initial production of small engines in the second half of this year for certain missile programs, and we are also currently responding to a customer-requested rough order of magnitude "for 15,000 engines" for a system that has been specifically designed around a Kratos Spartan jet engine. Directly related to the expected future quantities of low-cost missiles, drones and powered munitions required, we are now in our new 40,000 engine per year capacity facility in Michigan. The expected ramp in our engine and propulsion system businesses, which can generate certain of our company's highest margins, including from the financial leverage we expect to realize on certain fixed manufacturing overhead and other costs as the business ramps are expected to be contributors to our expected increased overall Kratos EBITDA margins as we progress through '26 and into '27. We continue to execute on the new industrial gas turbine, or IGT, program I mentioned on our last call, which we are under an NDA on, but there has been important information reported publicly, including on CNBC, with such program, if successful, could be a significant future catalyst opportunity for Kratos. Since our last update call, Kratos Turbine Technologies is now under contract in the high-profile e-VTOL area under what we refer to internally as project Pegasus, where Kratos is designing and is expected to deliver propulsion systems, including for a very well-known e-VTOL company. Kratos' technology and propulsion systems in the e-VTOL area is another representative example of Kratos being a provider of real dual-use products. Kratos Microwave Electronics is also expected future high-growth business area for our company, including in the U.S., Israel and elsewhere internationally, both organic and inorganic that is also currently expected to continue to generate certain of the highest profit margins in our company. As you know, Kratos microwave has several hundred employees in Israel where Kratos is working with certain of the most technologically advanced companies in the world, and I recently met in Israel with my very close partners, including the CEOs of Elbit, Rafael and Israel Aerospace Industries, each of which Kratos has been working with for decades. Simply stated, virtually every national security system globally needs military-grade microwave electronics, and we are focused on investing in and growing this business area to support our partners. Consistent with our expectations and what we communicated in our Q3 update call, we recently announced that our teammate, Northrop, received the MUX TACAIR collaborative combat aircraft, or CCA, program award with Kratos Valkyrie as the CCA aircraft equipped with Northrop's mission systems. It was also reported that MUX TACAIR was a competitive CCA solicitation that Kratos' Valkyrie won and was selected for. As I have mentioned before, Northrop is an incredibly valuable partner of Kratos and one of the most innovative technology companies in the industry, and this includes the new defense technology companies. As reported, this initial MUX TACAIR award is approximately $230 million and will be split approximately 50-50 between Kratos and Northrop with an approximate 24-month period of performance, also consistent with our previous expectations. As a reminder, there is initial MUX TACAIR funding of approximately $275 million included in the 2025 Reconciliation Bill and an additional $58 million included in the '26 Appropriations Bill. This is expected to be just the beginning for this program. As I have previously communicated in detail, this initial award includes the sale of a number of Valkyrie systems, but this is not yet high-rate production, which is expected to come next. There has been a lot of information reported on the Marine Corps Program of Record and Valkyrie being the first CCA expected to be fielded. And I encourage you to take a look at this data as I believe it validates the current favorable competitive positioning of Kratos Valkyrie and the future expectations that we have for this system. Importantly, we have now also successfully received another separate U.S. tactical drone program of record contract award, though we are not allowed to provide any details at this time. Additionally, I believe that we are in a sole-source position for 2 additional tactical drone opportunities, including for Valkyrie, which we will hopefully receive in late Q4 this year. We are also in another competitive CCA solicitation with the Valkyrie in a partner, which we also currently expect to be notified on by the end of this year or early next. As a result of our recent progress, we intend to execute a plan to increase our Valkyrie production from current approximately 8 aircraft annually up to a projected annual production rate of approximately 40 aircraft annually by the end of '28. We currently expect to have definitized with our customers later this year or early next the production quantities of Valkyrie required to be contractually delivered and the timing of these deliveries, which, in part, will be related to the 2027 federal budget defense appropriation and when it is approved. At a planned production rate of approximately 40 Valkyries annually, we believe that we will be well positioned to address expected current under program, customer required delivery schedules once definitized while also maintaining an adequate number of whitetail aircraft in inventory to be able to continue to address RDT&E, S&T and potential new customer requirements. We will continue to include in Kratos' base case financial forecasts, as we provided today, only the RDT&E and S&T Valkyrie sales quantity levels until we have definitized production funding and delivery schedules so that we can accurately forecast expected larger quantities by fiscal quarter and fiscal year. In summary, the Marines are expected to field the first CCA. We will not let them down, and we will keep you informed with the progress to the extent we are able to discuss. Kratos recently received a gauntlet award under the Department of War's $1 billion Drone Dominance Plan to acquire small lethal drones over the next 2 years. We have a family of small drones in this class that we have not discussed previously. This is a Phase 1 award. This program is scheduled to move very rapidly, and if we continue to be successful in future phases, Drone Dominance could be another meaningful program to our company. Kratos' Mighty Hornet Tactical Firejet CCA program initiative continues to progress with the Taiwan NCSIST, and we have certain future flight-related milestones we need to achieve with the potential production decision possible late this year or early next. As was recently reported with the Taiwan NCSIST, the ultimate objective of this program is for very high quantities of affordable mass fleet of Mighty Hornet IV systems to be deployed in Taiwan. Kratos' Athena program and UAS has had additional successful flights under contract with a U.S. customer. As I believe you can see, the tactical drone opportunity is happening real time for Kratos, that this is occurring as a result of the threat and that the customers believe that they are out of time and that they need to field relevant systems now. Kratos' Anaconda radar, Helios hypersonic, system-related Arc Jet, Prometheus solid rocket motor and energetics, BladeWorks jet engine and our new Poseidon program facility are all expected to be coming online over the next 24 months, contributing to the expected future growth margin and value increases for the business. New initiatives that Kratos is currently either pursuing or assessing that I can mention include Kraken and Ares, both in the hypersonic area; Vulcan in the rocket system area; and Elysium, which is the largest and for competitive reasons, I will not get into at this time. Each of these, if successful, have either customer or partner backing. Kratos' business plan remains unchanged, including that we do not buy back stock or pay dividends, but rather, we invest our capital in rebuilding our country's defense industrial base; rapidly developing, producing and delivering affordable relevant systems to the war fighter; and generating a financial return for our investors. As Deanna will discuss, we have closed on a small tuck-in acquisition, Nomad Global Communication Solutions, a technology, hardware and systems company focused on mobile command, control and communication systems including as related to unmanned systems, counter-UAS, homeland security and some other systems. Nomad was a negotiated transaction between Kratos and the Nomad owners, consistent with the type of opportunities Kratos continues to be approached with. We continue to expect the previously announced acquisition of Israeli-based satellite communications company, Orbit Technologies, which forecasted financial performance is not included in the guidance we provided today to close by the end of Q1. Once Orbit closes, we will include them in our forecasting. Deanna?
Deanna Lund: Thank you, Eric. Good afternoon. As we have included a detailed summary of the fourth quarter and full year 2025 financial performance as well as the initial first quarter and full year 2026 financial guidance in the press release we published earlier today, I will focus on the highlights in my remarks today. Revenues for the fourth quarter were $345.1 million, above our estimated range of $320 million to $330 million, with overachievement of forecasted revenues across the majority of our businesses, with a revenue organic growth rate of 20% over the fourth quarter of 2024 as compared to our estimated organic growth rate of 14% to 15%. The largest contributors to the overachievement were our space and satellite, Turbine Technologies, C5ISR, and Microwave Products businesses. Notable year-over-year organic revenue growth was reported in our defense rocket support; Microwave Products; and Space, Training and Cyber businesses with organic revenue growth rates of 47.4%, 32.4% and 22.7%, respectively. Adjusted EBITDA for the fourth quarter of '25 was $34.1 million, just above the high end of our estimated range of $29 million to $34 million, reflecting the increased volume and revenue mix, offset partially by continued increased subcontractor and material costs on certain multiyear fixed-price contracts in our Unmanned Systems business, revenue mix an elevated bid proposal and other new opportunity pursuit costs. Unmanned Systems fourth quarter '25 revenue was up $7.4 million or 12.1% organically with the increase primarily driven by Valkyrie-related activity. KGS fourth quarter '25 revenue was up $54.6 million year-over-year from the fourth quarter of '24, with organic revenue growth of 22.2%, excluding the impact of the February '25 acquisition of certain assets of Norden Millimeter, Inc. Fourth quarter '25 cash flow generated by operations was $12.1 million, primarily reflecting the working capital requirements related to the revenue growth impacting our receivables by approximately $29 million and increases in inventory of $20 million and increases in other assets of approximately $3 million, primarily reflecting investments we are continuing to make related to certain development initiatives in our Unmanned Systems business. Free cash flow used in operations for the fourth quarter of '25 was $100,000 after reflecting funding of $24.2 million of capital expenditures net of $12 million in proceeds from the sale of Valkyries, which were reported as company-owned capital assets and previously classified as capital expenditures and therefore, reflected as an inflow in investing activities when sold. As we planned, we are continuing to make investments to expand and build out certain of our manufacturing and production facilities in our Microwave Products, Rocket Systems, hypersonic and jet engine businesses to meet existing and anticipated customer orders and requirements and investing in related new machinery, equipment and systems. Consolidated DSOs or days sales outstanding increased from 111 days in the third quarter to 121 days, reflecting the nearly 22% revenue growth and the timing of milestone billings and contractual funding. The impact of the federal government shutdown and its impact on government program, administrative and other offices and functions was more significant than we had anticipated, which has resulted in the delay in timing of certain contract funding and certain expected government contract receivable payment dates to be delayed, resulting in an increase in customer accounts receivable days sales outstanding. Our contract mix for the fourth quarter of '25 was 70% of revenues from fixed-price contracts, 26% from cost-type contracts and 4% from time and material contracts. Revenues generated from contracts with the U.S. federal government during the fourth quarter were approximately 67%, including revenues generated from contracts with the DOW and non-DOW federal government agencies and FMS contracts. Now moving on to financial guidance. Our financial guidance we provided today includes our expectations and assumptions for our supply chain execution, the impact of employee sourcing, hiring, retention and the related costs. Our first quarter and full year '26 guidance includes the estimated contribution from the recently closed Nomad Global Communication Solutions acquisition from the date of acquisition, which closed in mid-February. As Eric mentioned earlier, we have not included the estimated impact of the pending Orbit Technologies acquisition in our guidance and will not do so until it is closed. We expect our first quarter '26 guidance to be the lowest in revenue and adjusted EBITDA, which includes the impact of the extended U.S. federal government shutdown in the fourth quarter of '25 with impact to certain contract awards program and funding. Our first quarter revenue guidance of $335 million to $345 million reflects estimated organic growth of 7.5% to 9.5% as compared to the first quarter of 2025. Our adjusted EBITDA guidance of $25 million to $30 million reflects the estimated revenue mix and less leverage on elevated administrative manufacturing overhead and bid and proposal costs that we have ramped in the business to support the forecasted full year '26 growth. Our full year '26 revenue guidance is $1.59 billion (sic) [ $1.595 billion ] to $1.675 billion, which reflects an organic growth rate of 12.7% to 18.5% over 2025 actual performance, which came in higher than our previous full year 2025 estimate. Our guidance continues to include the impact of increased material and subcontractor costs on certain of our multiyear fixed-price contracts, specifically in our Unmanned Systems target drone business, where we have experienced cost growth on certain ancillary materials on our targets and for which we are unable to seek recovery from the customer until the renewal of future production lot contracts occurs. We are continuing to aggressively manage costs where we can to minimize the impact to our margins. Our operating cash flow guidance includes a continued use of working capital to fund our organic revenue growth, which includes the increase in accounts receivable and the impact of delays in contract funding to enable customer billings and collections and increases in inventory and related prepaid asset balances as we ramp production and procure long-lead materials for our target in tactical drones, solid rocket motors and our turbo fan and turbo jet engines. Kratos' operating cash flow guidance also assumes certain investments in our Rocket Systems and Unmanned Systems businesses related to the procurement of rocket and related systems and our plan to begin producing approximately 40 Valkyries annually beginning by the end of 2027 as well as the completion of certain of our unmanned systems and related derivatives and vehicles. Additional forecast and investments in '26 include our funding of the Prometheus joint venture established last year, which we estimate will be ratably throughout 2026 for an aggregate for the year of approximately $50 million; funding of the pending Orbit Technologies acquisition; our Anaconda radar program; our Helios hypersonic and arc chamber program; our Indiana hypersonic integration facility; our GEK and BladeWorks engine facilities; and our Vulcan, Kraken, Elysium, Nemesis, Hermes and other initiatives. Our forecasted capital expenditures of $135 million to $145 million for 2026 includes approximately $30 million to $35 million, which was originally forecasted for 2025, which has moved to the right.
Eric DeMarco: Great. Thank you, Deanna. We'll turn it over to the moderator now for questions.
Operator: [Operator Instructions] Our first question comes from the line of Josh Sullivan with JonesTrading.
Joshua Sullivan: If I could just start off with a question on maybe some of your perspectives on defense tech valuations in the market, reports of annual or quarterly of $60 billion or $8 billion in funding, what do you think that means for Kratos? And what would an order of magnitude of nearly $8 billion allow Kratos to accelerate? You just mentioned a number of programs and wins you're working on and then tied in with the Secretary's comments you also mentioned.
Eric DeMarco: Okay. So I believe that Kratos is the most valuable defense company in the industry, private or public. I'm taking nothing away from Anduril or any of the other defense tech companies. I want them to all succeed for U.S. national security. Okay. But we are the most valuable, and I can go through that if you'd like me to. On the second part of your question, we all have different strategies and business plans. Our business plan is to be balanced as best we can, drive organic growth like we're doing, invest significant amounts to rebuild the industrial base like we're doing but always be mindful of generating an adequate return on investment for the investors. So that's how I see it, Josh.
Joshua Sullivan: Got it. And then I guess just on Kratos' partnership with Boom and the superpower IGT, I know there's an order from Crusoe for 29 units and tie-ins with OpenAI. But what can you say about other customers and backlogs at this point since you've announced?
Eric DeMarco: Right. Yes. So thank you for the question. As I mentioned, take a look at the -- there was an interview on CNBC by the CEO of Boom, Blake Scholl, where he walked through the opportunity that we have here. Now to your question, Josh, when Kratos acquired Florida Turbine in 2019, the primary business of Florida turbine was industrial gas turbines. That's our expertise, Kratos'. We have not been focused on it and talking about it because we've been -- we've put our engineering team on low-cost engines for cruise missiles and drones. The market has definitely come our way now on the industrial gas turbine area, and we are moving out on this aggressively. Our #1 priority is to do it with our partner, but this is an area of expertise for us, and we have -- we are a merchant supplier, and there are multiple companies in this area that are coming to us now for our assistance.
Joshua Sullivan: And then just one last one on the THAAD order you mentioned. Can you just remind us of Kratos' exposure on the ground and infrastructure equipment?
Eric DeMarco: Yes. So as I alluded to in the remarks, the Department of War moving out with the big primes on the air defense systems and the missile systems, Lockheed and Raytheon multiple platforms on each one of them. I mentioned Northrop looking to -- I think they said they're going to go up 4x on their Integrated Battle Command System platform. Kratos is the merchant supplier to each one of those guys and many others for the ground infrastructure for radars, command and control systems, battle command systems, et cetera, et cetera, for virtually every missile and radar system. So this is significant for Kratos, for our business and for our clarity going forward, these long-term, I'll call them, supplier commitment agreements the Department of War's doing with the prime because we're partnered with the primes on, as you said, THAAD and Patriot and indirect fires, if picked, on Integrated Battle Command System, on SHORAD. I could go on and on. This is important for us, what is happening here.
Operator: Our next question comes from the line of Michael Ciarmoli with Truist Securities.
Michael Ciarmoli: Nice results, and thanks for all this detail, especially the CapEx bridge. Eric or Deanna, is this the CapEx peak, do you think? Or are we just getting started here? And I mean, are you comfortable with the balance sheet? I think post-Orbit, you'll have roughly $200 million in cash. And I think, obviously, spending your own money, not doing buybacks or dividends clearly aligned. But have you talked or engaged with the Department of War or even Office of Strategic Capital. I mean there's been some pretty creative transactions out there. Just curious on the terms of color there.
Deanna Lund: Yes, Mike, thanks for the question. So the CapEx table that we've included in the press release is on the gross side. So it does not include potential government, whether it be federal or state funding that we may receive that we are working on a parallel path. So we tried to present what we think is the worst case for 2026.
Michael Ciarmoli: Okay. Got it.
Eric DeMarco: Yes. And Mike, a data point on that, take a look. Anduril announced yesterday or the day before, they just received another $40 million or $45 million in Title III funding, where Kratos is right in the middle of that on Title III funding, on IVAS funding, et cetera. And as Deanna said, we're throwing the gross number out there, but I believe you'll see a significant number of offsets this year.
Michael Ciarmoli: Okay. That's good to know. And then, Eric, this one might be a tough one. But of all these initiatives and these CapEx projects, I mean, what, in your view, offers the most potential for revenue growth, EBITDA generation? And I don't know if it's easy to maybe tie it to the $13.7 billion pipeline you talked about. But anything jumping off the page there?
Eric DeMarco: Yes. The hypersonic franchise, Mike, I was -- obviously, I was in Indiana this week. I was at Crane for the groundbreaking of Prometheus. And right next to where we were breaking ground is Kratos' hypersonic integration facility that's 90% complete, right? Okay. Right next to that, we've broken ground on Anaconda, and behind it, we're going to break ground on Helios. Our hypersonic franchise, the programs we have, the additional funding we expect to get and the demand to test, fly, test, fly is so significant; and in our base case, this will drive our growth trajectory and our profitability for the foreseeable future.
Michael Ciarmoli: Okay. Okay. That's helpful. So that $700 million line of sight you talked to, I mean, it sounds like there could be upside to that based on breaking ground...
Eric DeMarco: Absolutely. No question. If we were to get a '27 Appropriations Bill kind of sort of on time instead of a 4-month continuing resolution, that would be a home run for Kratos.
Operator: Our next question comes from the line of Anthony Valentini with Goldman Sachs.
Anthony Valentini: Eric, I just want to talk on the Marine Corps program for Valkyrie. Can you just give us a little bit of color? I thought it was a little bit surprising that you guys aren't the prime and Northrop is. Can you just talk a little bit why that's the case?
Eric DeMarco: Absolutely. We are in it to win it, and if that means being the prime like we are on some of the other ones I mentioned, we're going to do that. I mentioned that we've won another CCA program -- type program, where we can be the prime. Where it makes more sense for us to be the sub, we will be the sub. Northrop Grumman has certain mission systems that are fantastic, and they have been working on these and investing in these specifically related to the Valkyrie for a long, long time, and they expect to continue to do that going forward. We have a strategy here with Northrop relative to the Valkyrie that goes far beyond the Marine Corps. And very candidly, I believe our probability of win, of winning at all is much higher with Northrop as the prime than if Kratos was the prime. Additionally, it reduces risk to Kratos on the integration of those very exquisite capability but not necessarily in cost, mission systems that Northrop is putting on. It's a risk reduction for Kratos, and we are getting a full stock profit margin on the aircraft. And last point -- I'm really glad you asked this. Last point, we are kind of sort of turning into the merchant supplier of tactical jet drones because we're the only guy that has anything flying right now. You've got some of these new guys that have done a few flights. Ours have been flying since 2019, 2015 on the Mako. And since we're the only guy, the mission system companies are coming to us. And if the mission system guys want to be prime and that means we can sell more airplanes faster, that's what we're going to do.
Anthony Valentini: Okay. And that makes sense. Eric, I think that you had talked about in the past of being $10 million a copy. Is that the right way for us to continue to think about it with Northrop as the prime and 50-50 split of the revenue, so you guys are $5 million of content per aircraft?
Eric DeMarco: That's not -- that is -- no, no, don't look at it that way. No, no. Look at $10 million per aircraft for Kratos. Okay? Might be a little less, might be a little more depending on the configuration. As you know, we have 3 different Valkyries now that are 3 different ones, rail launched, trolley launched, conventional takeoff and landing. So depending on the type of aircraft, it might move around a bit, but if you use $10 million, you're in good shape for Kratos.
Anthony Valentini: Okay. That's incredibly helpful. And then the last one for me, Eric, like you've outlined a ton of different opportunities here. Like hypersonics alone, I think, is 10% growth. I recognize that you don't have the scaled production of Valkyrie in the numbers yet. But is there anything significant that we should know about that's rolling off over the next couple of years? Because it seems to me like the growth that you're outlining is pretty large, maybe above the 20% that you're talking about.
Eric DeMarco: There is nothing of significance rolling off. We have 0 recompetes of any size for the foreseeable future. We won the last one last year, command and control space segment for 7-plus years. We are in a very fortunate position because we're a hardware company and an intellectual property company.
Operator: Our next question comes from the line of Mike Crawford with B. Riley Securities.
Michael Crawford: I hope you're doing well in that gauntlet competition that started 5 days ago. And can you just talk a little bit more about what you offer with small drones and if you have any capabilities in the counter-UAS area?
Eric DeMarco: I'm sorry, Mike. We -- so we have a family of small drones, Class 1 drones, some Class 2 drones that we just haven't been talking about that we have primarily been working with the United States Army on for multiple, multiple years. And very candidly, you have not heard me talk about this one because I was not sure we were going to be successful in the first round, and we were. And the way this works in summary is there are different phases, Phase 1, Phase 2, Phase 3, et cetera, and the winners of the initial phase, which we are, we can pick our spot when we want to bring our suite of airplanes and our drones in based on the requirement of the phase. So I don't want to get ahead of myself, but we feel pretty good about this, especially as the phases progress. And as they progress, they are more in line with our differentiating capabilities. And that's really all I should say about it because it's literally -- as you said, we're going to be going out there very soon if we continue with Phase 1.
Michael Crawford: And then on -- so these would be more offensive.
Eric DeMarco: Yes.
Michael Crawford: And so you're not involved in the counter-UAS phase of that competition.
Eric DeMarco: I've been focused on the offensive one, Mike. And so we're focused on the -- relative to the Drone Dominance Program, we are focused on the offensive one. We are involved in several other counter-UAS programs, where we are building hardware, and we have initiatives where Kratos has tethered drones, not the fiber optic ones, not the first-person view fiber optic but tethered drones that are involved in CUAS capabilities.
Michael Crawford: Okay. And just one more for me. Can you just go a little bit into the capabilities that you've gained with Nomad and maybe potential LTM revenue that, that business had?
Eric DeMarco: Yes. So on the business side, in my opinion, this is one of Kratos' 1 plus 1 equals 4s. They do mobile systems. And as we know from recent conflicts, if you're static, you're dead. And so there are a significant number of programs coming, many -- a number of which Nomad is one, many more of which we intend for them to win with us for mobile command and control systems, mobile counter-UAS systems, mobile systems to control offensive UAVs. And this one, I'm going to be careful on, mobile systems relative to missiles. And that is the business objective we saw for Nomad. I'll let Deanna comment on the financial piece.
Deanna Lund: Yes. So LTM fiscal year revenue is about $75 million, Mike.
Operator: Our next question comes from the line of Jon Siegmann with Stifel.
Brock Cannon: This is Brock on for Jon tonight. Appreciate the question. You touched on it earlier, but you recently announced a successful test of the Mighty Hornet system. I just wanted to know if you had any more details around your timing there and planning capacity in Taiwan for this project and then how you're going to be recognizing revenue from the program.
Eric DeMarco: I'll leave that last part for Deanna. So on the first part, let me be just very, very crisp on this. We have flight demonstrations that we're prepared for, where we have to do something. Our understanding is that if we are successful there, we have done something like this before. So this is not a bleeding edge type of a thing, that a production decision will be made in the second half of this year, Q4. I believe the Taiwan agency that we're working with, they did an interview, I think, at the Singapore Airshow a few weeks ago, I think, where I saw this, where they have said that they are looking for hundreds, if not thousands of these and to be deployed ASAP as a deterrence. So that is the extent of what I can discuss with you right now. I will -- I'd like to emphasize the reason why we've won where we are, we are where we are, is because our Tactical Firejet and our AirWolf small tactical jet drones have been flying for a long time. They are both in production. The customer comes to the factory. They can see them in production. They can actually see the cost buildup, so they know what they're going to cost, and we can give them actual flight performance data. And we're seeing this more and more now. As I mentioned in my remarks, many customers feel that they're out of time, and they need to start fielding things now in order to defer, to deter and that's where we are on Mighty Hornet.
Deanna Lund: And as far as your question on revenue recognition, that will depend on the contractual terms that are negotiated. So clearly, on the services, on the demonstrations, that's going to be as performed. But for aircraft, it's going to depend on the contractual terms of whether it would be percentage completion or at delivery. So it will be dependent on that.
Operator: Our next question comes from the line of Ken Herbert with RBC Capital Markets.
Kenneth Herbert: Eric, you talked about the funding backdrop and the supplemental, the $450 billion that sounds like will get requested and debated here this spring. How do we think about your top line organic growth numbers you've put out maybe if we are in a $1.5 trillion potential for fiscal '27 relative to a sort of a maybe low to mid-single-digit growth in defense spending all in? I mean it sounds like you're going to hit your numbers even if defense spending comes in at slight growth relative to fiscal '26 and '27. But how do you think the puts and takes and the budget impact your outlook here in the next 1 to 2 years?
Eric DeMarco: Yes. So what you just said at the end there is exactly correct. We -- putting aside -- assume a normal growth trajectory for our defense budget, so let's say, 5% a year. We are in great shape to achieve, if not exceed our forecast for '26 and '27 with the potentially accelerating in '28 and '29. This is with current funding normal growth. Why is that? Because within that funding, money is moving from previous priorities to new priorities. And Kratos, we are very fortunate that we are extremely well positioned with contracts and programs in certain of the highest priority areas there are. And those are going to be, as I mentioned before. Number one is going to be the hypersonic area. That is going to be a significant growth driver for us. Number two, and this is very recent, our space and satellite business. As I mentioned, we were just informed that we have won a brand-new just under $0.5 billion program. So hopefully, we're going to be able to talk more about that going forward, but we were just informed verbally that we received that, so our space business. Number three, that's going to be kicking in later this year, and I expect it to accelerate in '27 and seriously in '28, is the small engines. We are designed in on a number of new cruise missiles. I can go through those, and I know you guys know who they are. And I expect us to go on LRIP later this year, and we could get into full rate production as early as '27. So we are in really, really good shape under the current funding construct. If the budgets go from $1 trillion to $1.5 trillion, I believe if the priorities don't change, I don't believe they will because the threat environment is not going to change in my opinion, that is going to be very good for us. And I could see it, meaning that our numbers could actually go up from where they are just because there's going to be more demand than supply of stuff.
Kenneth Herbert: That's helpful. And is it fair to say you've seen an acceleration maybe in the pace of contracting activity? I mean, obviously, we had a shutdown in the calendar fourth quarter. We've got a new administration that's had some natural transitions and bureaucratic delays and other issues. But it sounds like now, at least as we flipped the calendar, we're seeing an uptick in contract activity. I'm curious if you're seeing that in your business and if you expect it to continue to accelerate as we go through the calendar year.
Eric DeMarco: Yes. Very recently, in the past 3 weeks, 4 weeks, we've seen an acceleration. Okay? I believe it's because, a month ago or so, the '26 appropriation was signed. So I think that's what's driving the acceleration, that we're seeing it. We are starting to see some of the reconciliation money come in. I think there's $120 billion of the $150 billion is going to be spent in fiscal '26. We're starting to see that come in. I anticipate that's going to be accelerating this quarter, Q1 and Q2. So overall, right now, Ken, the environment is very good, and it's improving for us and I believe, for the industry.
Operator: Our next question is from Colin Canfield with Cantor.
Colin Canfield: Maybe if you could talk about the sensitivity of the tactical drone production quantities that you've discussed and essentially, how do we think about kind of the 40 units per year versus the other branch opportunities that you're considering?
Eric DeMarco: Right. So as I mentioned, we're looking at approximately, to get to a run rate of production rate, an annual production rate of approximately 40 per year, think 35 to 45. And so the midpoint was the 40. What -- the #1 driver on that is the mix of airplanes. So whether it's going to be a conventional takeoff and landing, a CTOL; whether it's going to be a dual capability, so runway and rail launched or if it's going to be rail launched. So that's the #1 that's going to drive that. Number two is this. It's -- under the program, we have -- and I can't get ahead of the customer, and I never will. We have a very good idea of what that demand is going to look like beginning next year. And as you know, I've been trying to communicate to you that we have some other potential customers that, I think, we're going to get specifically for the Valkyrie. We're going to get better clarity on that between now and the end of this year. Those 2 factors, mix and the clarity we're going to get on some of these other opportunities on types of planes and quantities, that's going to drive where we ultimately end up on our annual run rate. And I want to mention, one of the -- the third key factor is the engine. The long lead on that is about 14 months. And so we have to be cognizant on the engine buy and when the deliveries are relative to when the integration process can occur with the aircraft.
Colin Canfield: Got it. So it sounds like the 40 is perhaps 2 CCA programs and then expansion beyond that, if you win it, is perhaps third and fourth CCA programs.
Eric DeMarco: No, no, no, don't characterize it that way. Look it as one plus we're going to continue to have, I call, demonstration airplane. So science and technology and RDT&E that are going to be sold every year. Think 4 or 5 like, I think, we have in our plan for this year. And then on top of that, I want to have a number. Think of a handful. And I might not -- we might not be able to get there, a handful of whitetails sitting there because this has been part of the keys to our kingdom. Think about it with Airbus and the Luftwaffe. We had airplanes in inventory that could come over and check out, and we deliver them. And so those are flex factors also, but think one program. If we have additional programs with quantity, we may have to take that number up if we're going to hit deliveries in '28 and '29.
Colin Canfield: Got it. Got it. And then perhaps one follow-up. Just now that we have the kind of construct in place, how do you think about kind of the sensitivity of cash investment versus that production schedule and then relative to the, we'll call it, the timing of the risk events that you alluded to earlier on the call in terms of kind of customer feedback that their time has run out and the probability of that occurring perhaps this year versus next year?
Eric DeMarco: Right. So on the first one, we are very sensitive and cognizant of cash. So let me give you a specific example. Earlier in the Q&A, I think Josh asked what happens if you guys were private and raised $8 billion. Okay? I got -- we have a balanced approach, and we're going to stay balanced. We're going to organically grow the company. We're going to satisfy the customer, and we're going to generate a return -- a profit for the investors. If we didn't have to worry about the profit part for a few years and we had a couple of billion dollars, Kratos could absolutely run the table in many of these drone areas because we don't have to develop anything. We got the airplanes. We'd go into production. The customers would buy them. But we have to be cognizant of cash like you said. So we are very cognizant of the cash and the investing. We are mapping that into the customer funding profiles that we have. Okay? On something like an engine, we're going to have to -- there are deposits required. We're going to have to make deposits and things like that. So that's going to be cash out. I mentioned the timing of the appropriation like the '27 appropriation. God willing it happens on October 1. It probably won't. So that can impact the cash until the appropriation comes through, the customer gets the money and they can pay us. So I'm saying a lot, but we have a major simultaneous equation that we're always managing to make sure that we satisfy the contractual requirements and we don't get too far ahead of ourselves on the capital side. Does that kind of answer it?
Colin Canfield: Great.
Operator: Our next question comes from the line of Peter Arment with Baird.
Peter Arment: Eric, nice results as always. On the Spartan jet engine opportunity, Eric, what's the best way to kind of frame up when things could start to move into kind of production and scale things up there?
Eric DeMarco: Yes. So use 40,000 or 50,000 in engine, okay, somewhere in there per engine. We -- okay. We have been informed by 2 customers. These are not -- these are customers. We're designed in. It's our engine. That platform has been designed around. It might be 3 -- 2 or 3 that they intend on us beginning to go into LRIP in the second half of this year. So I think hundreds of airplanes that we start -- hundreds of engines, pardon me, that we start to build, okay, with deliveries beginning in '28, all right? If things work out the way I think they're going to work out, and again, go back to the '27 appropriation and timing, second half of '28, we could see like a step function, where we're delivering hundreds of engines, and we're getting ready to build thousands of engines to deliver in '29. So it's coming. One I can -- Peter, one I can mention to you that's out there, that it's public, that we're the engine on if you pull it up, so you may have seen what happened with the Powered JDAM and the maritime strike version with Boeing. In the last 2 weeks, it was given a new designation. I believe it's called [ PJDAM-XR ] and they talked about some of the things I'm talking to you about here, right? As we're also -- I think it's pretty -- I think it's publicly out there that we are on a number, I think, 3 of Lockheed Martin's low-cost cruise missiles. We are -- I think it's out there. I think I can say we're on one of Northrop Grumman's. And we are on at least a handful, I don't know the number off the top of my head, of these new defense technology guys that have won ETV, Franklin and MACE. So there's a lot of them out there that are coming, and that's how I see it playing out over the next couple of years.
Peter Arment: That's great color, Eric. And just one last one on -- you've given us a lot of details on the growth opportunities. Outside of hypersonics this year, what is kind of the next 1 or 2 that you would highlight as the next main growth drivers for you in '26?
Eric DeMarco: So number one is -- I haven't talked about this a lot. It's our Microwave Electronics business. I mentioned I was in Israel very recently. I was with Israeli -- on the microwave thing specifically, I was with Israeli Aerospace Industries, and I was with Rafael. We are on virtually every one of both of those guys' missile systems and radars. So this is Iron Dome. This is Arrow. This is SPYDER. This is Sling of David. This is BARAK. I can go on and on. So we are -- we do microwave electronics for both of those. Our U.S. microwave business, I don't talk about it a lot. It's competitory. We have recently received a production award on a very large, well-known missile program. I'm under an NDA with the prime. I can't talk about it. We're on that one. So our microwave business is ripping, and as I said in the prepared remarks, virtually every system globally, whether it be a missile, a radar, an air defense, a drone, et cetera, it needs microwave electronics. We are all over it. We are designed in, and we're getting designed in more. And here is the third one, our space and satellite business and in particular on the national security side. It is amazing, what is happening. I mentioned the win we were informed of very recently. We -- virtually everything we're bidding on, we're winning. And it's because we have a software-defined command and control, and telemetry tracking and control system that can interface with these new constellations that are going up, including very recently LEO. And that's where the game is at. So our space business is looking great in the second half of this year when we start delivering a bunch of this -- these software-defined products. And then in '28, I think our space business is going to knock it out of the park. Those are the 3 -- hypersonics, microwave electronics, engines and space. Those are the 4.
Operator: Our next question comes from the line of Seth Seifman with JPMorgan.
Seth Seifman: Good results. Just wanted to ask in the -- just understanding in the fourth quarter, I think the release talks about Valkyrie being a driver of growth. And we saw some good profitability in the unmanned segment in the fourth quarter. So how did Valkyrie play into that? And then kind of what does that mean for Valkyrie in '26? I know you mentioned you weren't including production yet. But how do we think about what is in there?
Deanna Lund: Yes. So the Valkyrie-related activity, that is some of the new contracts we just received that we've just talked about earlier, and that is expected to continue in 2026.
Seth Seifman: Okay. Okay. And if we were breaking down the expected growth between the segments, I know you guys have sometimes talked about that. How do we think about KGS versus unmanned?
Deanna Lund: The lion's share of the growth is expected in KGS.
Eric DeMarco: Driven by hypersonic -- the hypersonic business and the microwave and space.
Seth Seifman: Yes, microwave and space.
Deanna Lund: And space business.
Eric DeMarco: Those are the 3 big forces.
Deanna Lund: Because as we mentioned earlier, as Eric mentioned in his prepared remarks, we're not including any large production type awards in our Unmanned Systems business. So that is not contributing as much of the growth. So the lion's share of the growth rate is in KGS that we provided guidance on.
Seth Seifman: Got it. Got it. If I could sneak in maybe just one more bigger picture, if you could -- I know we saw the groundbreaking on Prometheus. If you could talk or maybe just update us on how things are going there, the investment levels and how the investment is reflected here. And then since that's a JV when we go forward, is that something that's going to be consolidated into Kratos results? Or is it something where we're just going to see maybe your share of the earnings?
Deanna Lund: It would just be our share of the earnings, so thus far, you can see it on the face of our balance sheet, I believe, through 12/28 or year-end. There is about $5 million of investment that we put into the venture. And then as we -- as there are operating results for Prometheus, it will be our percentage at 49.9%. So you won't see anything on any of the detailed line items on the income statement, so no revenue, no cost of sales, no SG&A or R&D. It would just be one line income or loss in investee depending -- obviously, in the beginning of the start-up activity, I would think there's going to be some operating losses because there's going to be depreciation that's going to be -- it's going to be a lot of noncash losses with depreciation of the facilities. And -- but it will just be our percentage of that whatever the income or losses on the income statement.
Seth Seifman: Right. No, that's super helpful. And maybe, Eric, when you think about the growth there, at the time that you did this, I don't know the -- we knew that all these multiyears were going to be coming. Does that present more opportunities for rocket motors you'll be manufacturing there?
Eric DeMarco: Yes, sir. That's a great question. Last week, I was with the Rafael team, and Seth, we were going through the forecast as a result of the new dynamic you just mentioned. The forecast has improved significantly. Let me give you an idea kind of sort of what this looks like. So we're going to be producing -- we'll begin in the second half of '27. And this is a classic high growth model. This is very similar to Kratos. And then when it gets to full rate production, it's projected to be a significant cash generator. Seth, it's going to go something like $100 million, $200 million, $400 million, $1 billion in revenue, something like that. And so think 2030, 2031 at full rate production for the first 3 phases. It's $1 billion in revenue. Think 20% and divide by 2.
Operator: Our next question comes from the line of Pete Skibitski with Alembic Global.
Peter Skibitski: A couple of questions. First one, just to clarify on the '26 growth unmanned, I want to make sure I understand. I thought you guys said your share of MUX TACAIR would be about $120 million, and it will be over a couple of years. So we should expect unmanned to grow at least $60 million or so in '26. Is that a fair assumption just on the MUX TACAIR contract?
Deanna Lund: No, what I -- answering Seth's question, I said it will be relatively flat year-over-year. So there's not as much growth in unmanned because, as just a reminder, in 2025, we had the Airbus with -- shipment in 2025, and that was, let's call it roughly $20 million, but it was not on a percent complete basis, so an apple to an apple. So as we move forward, it will be more on percent complete, so -- and we have not included a lot of the -- any production awards in that forecast. So I would -- it's not an incremental $60 million. It's roughly -- I would call it more like flat year-over-year at what we've assumed in the forecast today.
Peter Skibitski: Got it. Okay. Okay. Fair enough. And then last one for me is just on hypersonics, the growth you're going to see over the next couple of years. Eric, I just want to get a sense of which contract vehicles are driving that growth. Is MACH-TB the majority of the growth? And when you talk about all these Zeus and Oriole SRMs on order, are those all under MACH-TB? Are those other contract vehicles? And maybe to some extent you can name those other contracts.
Eric DeMarco: Yes, there are others. So number one is MACH-TB. Number two is the Navy program that's coordinated very closely with the Missile Defense Agency, very closely. Okay. Number three, it's with the prime. I can't talk about it, but it's with the prime. Hold on. I want to make sure I'm not missing a piece. Those are the big 3 primaries, MACH-TB, a Navy/MDA program. Space and Missile Defense Command may be in there somewhere, too, a little bit and then the prime, then a big prime.
Peter Skibitski: Okay. Got it. So it's -- MACH-TB will be Zeus, maybe Oriole, but also all of your partners' missiles that they are...
Eric DeMarco: Yes. The big -- in MACH-TB, the big drivers for us is Zeus 1 and 2, Erinyes, Dark Fury and some other things I can't talk about that we're going to be flying.
Operator: For our next question, it comes from the line of Andre Madrid with BTIG.
Andre Madrid: Could you maybe provide more color as to what the split between target drone and tactical drone revenue was in the quarter? I mean was target drones especially impacted and this held the segment back and prevented -- I'm just trying to find the puts and takes there because I think I might have expected more from the MUX TACAIR award than we saw. Maybe just like the puts and takes on the segment.
Deanna Lund: Yes. So the tactical revenue for the fourth quarter was roughly $8 million to $9 million.
Andre Madrid: Got it. Got it. Okay. That's helpful. And I guess kind of on the same subject, maybe a little less, but I'm talking about CCA potential opportunities being the GEK 1500. Are there any anchor customers in place for that platform yet?
Eric DeMarco: I cannot -- sorry, brother, I can't talk about this. I can't talk about it.
Andre Madrid: No, that's all good. I get it. And then, I guess, if I may, there was the increment 2 of CCA that they said that they had selected 9 companies for that were in given concept refinement contracts. Can you disclose whether or not you were one of those companies?
Eric DeMarco: I can absolutely not talk about that.
Andre Madrid: Got it. Got it. And then I guess one last one. The Drone Dominance Program, it seems like that's flowing through DRSS as opposed to KUS. Could you maybe just explain the reason why there?
Eric DeMarco: Yes. That's actually a very good question. So in Unmanned Systems, those are all Class 4 -- call it, Class 4 aircraft. They're jets. And you got -- and down in Huntsville, which is in DRSS Class 1 and 2. Very good question. That's why. And obviously, because the customers are different, the supply chain is different, et cetera, et cetera, et cetera, we left them separate.
Operator: Our next question comes from the line of Trevor Walsh with Citizens.
Trevor Walsh: Just kind of a quick one for me. Most have been asked already. On the CapEx color that you gave, Deanna, around some of the spend from '25 slipping into '26, which is how we get to that $135 million, can you just elaborate a little more? Was that a single initiative where it slipped? Or was it more broad-based across the spend expected in '25? And then relatedly, is there anything that could slip kind of into '27 kind of in a similar fashion?
Deanna Lund: Yes, sure. So what slipped? It's really 2 programs. So it's the Indiana payload integration facility as well as the Birmingham advanced manufacturing hypersonic facility. Those were just construction plans that, as you know, construction takes longer always. So they were originally forecasted for '25, but they slipped in just from a timing perspective into '26. As far as for '26 moving into '27, right now since we just started the year, we believe everything is going to be incurred in '26 that we forecasted. But some of that's going to be construction related, so some may push out. But at this point, we think that's a good range for 2026.
Operator: Our next question is from the line of Hans Baldau with NOBLE Capital Markets.
Hans Baldau: I'm on the call for Joe Gomes. And so on the second Valkyrie production, the $25 million to $28 million in CapEx you're planning for 2026, can you help us understand the downside protection there if the contract awards or delivery schedules slip, how exposed Kratos is?
Eric DeMarco: Yes. Right now, where we stand right now, I don't believe there's any -- there's 0 risk. I believe those airplanes will all be spoken for under what we have. I don't see a risk there.
Hans Baldau: Okay. And with the microwave products, how much is that tied to missile and air defense programs specifically versus other applications?
Eric DeMarco: Okay. I'm going to -- at least 50%. Okay? It may be as high as 60%, so think 50% to 60%. Then think 20% satellite, communication satellites. Then think the vast majority of the rest, communication systems, comms.
Operator: One moment for our next question, is from the line of Austin Moeller with Canaccord Genuity.
Austin Moeller: So just my first question here, Eric and Deanna, $400 million incremental for MACH-TB, $4.6 billion for space and boost glide interceptors and $3 billion for hypersonic defense systems was in the Big Beautiful Bill. Then in the fiscal year '26 appropriations, there was $13.5 billion added specifically for Golden Dome within the Space Force budget. So just thinking about the programs that you're bidding on and the RFP process and when task orders might go out, how much of this funding do you think might be captured in the second half of '26 versus 2027?
Eric DeMarco: Right. So on our related programs, either we're prime or we're working with one of the traditionals, okay, the funding on the ones you just went through, it's the vast majority of it is Q2, Q3 and Q4 of this year. And then '27 will be very significant for that funding. That's how we see it.
Austin Moeller: Okay. And on MUX TACAIR, which you're partnered with Northrop as the prime, I think you alluded to this a little bit earlier, but Northrop is also bidding on the Navy CCA program, and the Marine Corps, of course, operate off of ships. So should we be thinking about potential opportunity for Valkyrie airframes for other agencies within the Navy department?
Eric DeMarco: What great question. I cannot -- I'm -- I cannot talk about that right now. Excellent, excellent question.
Operator: Our next question comes from Cashen Keeler with BNP Paribas.
Cashen Keeler: So I guess on the organic growth outlook for the year, it's a bit lower than the initial 15% to 20% you had laid out last quarter. So I guess, is that just mathematically coming in higher for the year on revenues? Or is there anything else that's driving that lower for the year?
Deanna Lund: That's correct. That's correct. As I had said in my prepared remarks, we had originally forecasted 14% to 15% organic growth for 2025, and we came in at 20%. So that is -- so it is a mathematical.
Eric DeMarco: Yes, we're -- the business is doing great. We -- as you know, we beat the heck out of the Q4 numbers, and now that we have an Appropriations Bill and the shutdown is done, hopefully, '26 will be really good, too.
Cashen Keeler: Got it. Okay. And then just on free cash flow, obviously, you have a lot of opportunities and investments in the pipeline right now. But as we think about free cash flow longer term, is there a time line when you would expect to be kind of more neutral or positive on free cash flow?
Eric DeMarco: Absolutely. I mentioned this on -- I'm glad you're asking it. I mentioned on the last call. We're starting to see it now on the -- it starts on the operating cash flow. And the operating cash flow is starting to increase, and it's going to start to ramp in '27 and '28. It's just going to depend on the number of new opportunities that we're presented with from the department. And I went through -- Deanna went through a list. I went through several in my prepared remarks where, once again, the government -- the customer has come to us, and they have said, "Here's an opportunity. You can get a very long-term multiyear decade program if you'll invest the capital to stand up this very specialized facility to build these things." So we definitely have line of sight on it, but I don't want to give you a time and then -- because you guys are punitive on this, and then the goalpost moves because 2 new opportunities came that generate a significant return for the shareholders. So we're cognizant of it. We see it. But right now, with the budgets increasing, the government trying to rebuild the industrial base and then providing companies like Kratos, the nontraditionals, with significant large opportunities, we're going to go for these right now and build a hell of a company here.
Operator: Our next question comes from the line of Clarke Jeffries with Piper Sandler.
Clarke Jeffries: I wanted to ask around the guidance of -- the guidance philosophy for hypersonic, mentioning an expectation to double hypersonic this year and 75% '27. Where was that compared to a quarter ago? And just maybe you can help us level set on the areas where you're not including in the base case hypersonic revenue versus where you are. That would be very, very helpful. And then one follow-up.
Eric DeMarco: Yes. So the #1 is the engines in the motors, the 120 motors that are going to start coming in late Q2, early Q3, and then those deliveries are going to ramp throughout '27 and '28. Those are tied to missions and launch manifests. And our Aerojet Rocketdyne on Zeus and ATK on Oriole, they've really stepped up, and so we are getting much more comfortable now with that. Okay. Number two, the glide vehicles. There's one company in the United States that has the carbon-carbon material for our systems. We've placed the long leads. We have a number of vehicle systems' worth of materials coming in starting in Q3 -- I believe, in Q3, and then that's going to accelerate into '27 and '28. And then on top of that, and I know I've said it a couple of times, we now have an Appropriation Bill, which was very, very important for us. So taking all that, we are really comfortable for the rest of this year and going into next year with the hypersonic business and I'll say the middle of the fairway numbers we provided to you. Now where you were going on that. There's a -- I mentioned I'm very -- I'm hopeful that there's another $1 billion sole source or I think we're going to get. And let's say we get that by the end of this year. That could be additive to '27. We'd have to take a look at long leads and things like that, but that could be additive to '27 and could provide upside on it.
Clarke Jeffries: Perfect. And then just the number of tactical drone opportunities that you're talking about that are sort of in the pipeline, just wondering if you could frame Group 3 versus Group 4 kind of opportunities? And then just generally with the context of drone dominator, how interested are you in Group 1 and 2 in terms of really putting more investment capital against those opportunities?
Eric DeMarco: Right. We are very, very interested in Group 5, so Valkyrie, Mighty Hornet, Tactical Firejet, AirWolf, Mako. That is our expertise, low-cost, high-performance jet drones. So Group 5 is the sweet spot, and that's where I did most my talking today because that's where the customers are coming to us. Group 1 and 2, like on Drone Dominance, we have a business there. We won a slot. I believe we won it because of our design capability and the capability of the drones. Okay? We'll see, but that is -- and we will make the investment necessary to satisfy any customer requirement, but that is not the strategic focus of Kratos, including from an investment standpoint.
Operator: Our next question comes from the line of Sheila Kahyaoglu with Jefferies.
Sheila Kahyaoglu: Eric, maybe if we could just -- one big picture question and one micro one. If we could just dig into the size of your microelectronics -- Microwave Electronics business, just given the production rate increases we're seeing, can you size it? What was the growth in '25? How do you think about the growth in '26? And what are some of the larger programs driving it?
Eric DeMarco: Deanna will help me on the numbers.
Deanna Lund: Yes. So the growth for the year was about organic 17%.
Sheila Kahyaoglu: Got it and...
Eric DeMarco: Big programs are Iron Dome, Tamir, Arrow, BARAK. There's next 2 -- the next 2 are classified. So those are the big 5, 2 classified and those 3 I mentioned.
Sheila Kahyaoglu: Perfect. And maybe you've given us so much color on this call. Can you -- I don't know if it's easy to just tell like the 3 upcoming catalysts we look for with Kratos.
Eric DeMarco: Yes. From my opinion, number one is, as I mentioned, I'm expecting that we're going to receive a very large potential $1 billion, $1 billion-plus hypersonic opportunity. I think we're going to get that. That is looking pretty good. I'm hopeful that a customer is going to let us announce or they will announce that we have received another tactical drone CCA type program award. I can't control that. I'm hopeful that happens. That financially and from a company standpoint is a catalyst. Number three, I think it's possible that one of our customers in the jet engine area could announce a very large production contract for the jet engines. That would definitely be a catalyst because that will be a new growth driver leg for the company.
Operator: And our last question comes from the line of Gavin Parsons with UBS.
Gavin Parsons: You guys have a lot to talk about.
Eric DeMarco: A lot going on.
Gavin Parsons: A lot going on. Well, I appreciate the question. Two-part question on the framework you talked about for the primes. I guess first part, does that accelerate your growth or more so give you better visibility into sustaining it for a longer period of time?
Eric DeMarco: For the near term, it's great visibility and sustainment, and we'll see what happens over the next quarter or 2 relative to timing of things that will accelerate for us.
Gavin Parsons: And then the second part, the primes are finally leaning into investment, right, announcing major increases in CapEx, doing less buybacks. Does that result in more direct competition? Or are they looking at more dual source as they look to grow faster? What's the risk there?
Eric DeMarco: Yes. We really don't compete with the traditional primes. We rarely do. It's -- we partner with them. I went through a little earlier that for every one of the major primes that builds missile, radar, air defense type systems, the ones that are going to be involving Golden Dome, we build the hardware for them. We partner with them. Look, with Northrop, we're delivering them tactical jet aircraft. So what the primes are doing now and leaning forward, this is going to be an accelerator for Kratos, is what it's going to be. I mean, take a look at Northrop, and that's one of our closest, if not closest partner. I mean, they talked about it last week or 2 weeks ago. They're looking to increase production on Integrated Battle Command System by 4x. We build a significant amount of the hardware on IBCS. That would be incredible for us. Take a look at Leidos Dynetics. Okay. I believe Tom or his CFO said in their earnings call and their transcript, I believe they said, check me, that by the end of '29 or 2030, they need to deliver 300 or 400 indirect fire systems. Kratos builds a significant amount of the hardware for Dynetics, for indirect fires that they get them do integration work on with the weapon system. I can go on and on. So these companies like Leidos Dynetics and Lockheed and Northrop and Raytheon that are leaning forward, especially including these large multiyear orders, there is nothing bad here for Kratos. There's -- I don't want to -- there's nothing in my -- that comes to mind competitory, and this could be an accelerator for us going forward.
Operator: And this concludes our Q&A session, and I will turn it back to Eric DeMarco for closing comments.
Eric DeMarco: Great. We appreciate you all joining us and taking the time to ask us the questions sincerely, your interest in the business. We look forward to chatting with you when we report Q1. Thank you.
Operator: This concludes our conference. Thank you for participating. You may now disconnect.